Operator: Good day and thank you for standing by. Welcome to the Mattr Fourth Quarter 2023 Results Webcast and Conference Call. [Operator Instructions]. I would now like to hand the conference over to your speaker today, Meghan MacEachern, Vice President of External Communications and ESG. Please go ahead.
Meghan Maceachern: Good morning. Before we begin this morning's conference call, I would like to take a moment to remind all listeners that today's call includes forward-looking statements that involve estimates, judgments, risks, and uncertainties that may cause actual results to differ materially from those projected. The complete text of Mattr's statement on forward-looking information is included in Section 4.0 of the fourth quarter and full-year 2023 earnings press release in the MD&A that is available on SEDAR+ and on the company's website at mattr.com. For those joining via webcast, you may follow the visual presentation that accompanies this call. I'll now turn it over to Mattr's President and CEO, Mike Reeves.
Michael Reeves: Good morning and thank you for attending our fourth-quarter conference call. Today, Meghan and I are joined by our Senior Vice President of Finance and CFO, Tom Holloway. In 2023, Mattr's continuing operations delivered year-on-year adjusted EBITDA growth of over 16%, expanded adjusted EBITDA margins by 140 basis points compared to 2022, and set new record levels of annual financial performance in both our composite and connection technology segments. These robust financial outcomes were accomplished while also executing a fundamental business transformation, rebranding our company, completing our strategic review process, and building a year-end cash balance of over $330 million. Our technology investments continue to drive growth. With our Xerxes water, large diameter Flexpipe, and Shawflex Nuclear product lines, each reaching new heights. During 2023, we also repurchased nearly 4.5 million shares under our normal course issuer bid and deployed over $75 million of organic growth capital into our manufacturing modernization, expansion, and optimization program with all four of our new North American production facilities remaining on budget and on schedule to commence production between mid 2024 and early 2025. We exited the year as a tightly focused critical infrastructure products provider with the balance sheet strength to continue investing in organic opportunities and share repurchases, while also considering meaningful acquisitions to accelerate value creation for all stakeholders. Over these past 12 months, the employees at Mattr have achieved a long list of extraordinary outcomes and have done so while setting a new safety performance record and further lowering our greenhouse gas emissions. I could not be prouder of this organization and the many talented, creative, and committed people who work here. Turning to the fourth quarter, the company delivered robust total operating results, continued to progress its significant organic growth program, and accelerated its share repurchase activity. Total consolidated adjusted EBITDA was $137 million during the quarter, with adjusted EBITDA margins of 29%, a substantial increase from the prior year and the prior quarter. Our continuing operations, which exclude the business components now sold to Tenaris and reported as discontinued operations, delivered adjusted EBITDA of $33 million in the fourth quarter, a significant accomplishment given normal seasonal slowing and the previously anticipated unfavorable market dynamics, which impacted our composite technology segment towards yearend. Continuing operations adjusted EBITDA margins exceeded 15% in the quarter, a testament to the organization's ongoing commitment to tight cost control and efficiency improvement. During the fourth quarter, we sold the majority of our pipe coating business reported as discontinued operations to Tenaris. Prior to its sale, the business delivered significant revenue, adjusted EBITDA, and cash flow primarily as a result of stronger-than-previously-expected execution and margins on the Southeast Gateway Pipeline project. Mattr benefited from this significant generation of cash that will have some working capital adjustment liability as a consequence. We anticipate the combination of pre-closing cash generation, the contractual purchase price net of transaction fees and expenses, and the currently estimated working capital adjustments will deliver total net cash proceeds to Mattr of nearly $280 million. Tom will share additional details on this transaction later. The hard work of recent years to strengthen our balance sheet and our cash generation profile positions us to continue pursuing a flexible but disciplined capital allocation strategy, balancing share buybacks with investments in high-margin growth opportunities to generate elevated returns in the coming years. During Q4, the company continued its substantial growth investments within its composite and connection technology segments. These investments, including four new operating sites, are expected to enhance production capacity, efficiency, and proximity to key markets; provide added footprint optimization flexibility; and lower risk by providing increased production redundancy; and are expected to accelerate mid- and long-term revenue growth, elevate margin profiles, and deliver attractive overall returns. We remain alert to strategically aligned, accretive acquisition opportunities which have the potential to accelerate our organic growth trajectory. With our strategic review completed and a substantial cash balance established, we now have the capacity to consider both tuck-ins and more meaningful acquisition target. Finally, we continue to believe the intrinsic value of our business represents an excellent investment opportunity, and consequently, the company further increased its stock repurchase activity under its normal course issuer bid during the fourth quarter. Looking at each of our segments, composite technologies delivered new annual records for revenue and adjusted EBITDA in 2023, with Xerxes' water product sales, setting a new high watermark and sales of Xerxes fuel storage tanks rising 7% compared to 2022, despite the previously discussed customer permitting delays challenge. In addition, share gains in our Flexpipe business enabled revenue expansion despite year-over-year contraction in North American oilfield activity. Of particular note, sales of our larger diameter Flexpipe products rose nearly 70% when compared to 2022. The composite technologies team has demonstrated agility, creativity, and a strong commitment to customer service over the last 12 months while successfully navigating some particularly challenging market conditions late in the year. I deeply appreciate there efforts. Despite a new quarterly record for Xerxes water product sales, these previously discussed late-year market conditions, including further reduced North American oilfield activity, normal seasonal slowing of underground fuel storage tank installation activity, and the first of two quarters where underground fuel storage tanks production was curtailed to lower finished goods inventory balances led to a sequentially lower fourth-quarter revenue and adjusted EBITDA. Entering 2024, market conditions have evolved largely as expected. North American oilfield drilling activity has remained in line with the prior quarter, a trend we believe is likely to continue for at least the first half of the year in the face of flat oil price, lower natural gas prices and substantial customer consolidation. However, early year customer ordering patterns continue to indicate ongoing Flexpipe share gains, particularly in larger diameter products, with normal seasonal increases in US completion activity expected to drive a substantial rise in Flexpipe revenue moving into the second quarter. In addition, recently captured international orders, including large diameter product orders, will modestly enhance first-quarter revenue before becoming more impactful in Q2 and beyond. In our Xerxes business, ground conditions during the first quarter are typically the least favorable for fuel and water system installations. And so far, 2024 has followed this historic pattern. In parallel, our fuel customer base has been working hard since early 2023 to modify their permitting strategies to secure a more consistent supply of approved permits and are communicating a greater degree of confidence that the 2024 convenience store construction and renewal projects will move forward as planned. Consequently, the first quarter of 2024 is expected to be the final quarter in which the business tempers production activity. Given the continued rise of US interstate commerce and truck traffic, and the lower applicability of electrification to this market sector, our fuel customers continue to display a rising focus on expanding their interstate travel center or truck stop networks. We are generally seeing older, smaller convenience stores being retired and replaced by larger convenience stores with 20% to 25% or more of these being travel centers. For context, a travel center will typically require seven or more new Xerxes fuel storage tanks, often with the largest configurations, whereas a non-travel center will typically require three to four tanks. Consequently, while total active convenience store count is projected to remain approximately flat, demand for premium Xerxes products continues to rise and is the primary driver behind our investment to upgrade, expand, and optimize the Xerxes manufacturing network. With a strong outlook for the second quarter and beyond, the segment has been intensely focused on advancing its manufacturing modernization, expansion, and optimization strategy. At year end, it's new Flexpipe production sites in Rockwall, Texas, and new Xerxes in Blythewood, South Carolina, remain on budget and scheduled for first production around midyear. Commissioning of the Rockwall site will lower manufacturing concentration risk in our Flexpipe business, alleviate rising capacity challenges in our Calgary facility, and enable substantially more efficient production of larger diameter Flexpipe products. In addition, its location will significantly reduce freight costs associated with products sold into West Texas and to international destinations. The Blythewood Xerxes site will be the first new tank production facility commissioned in 35 years, incorporating modern manufacturing processes to significantly enhance efficiency and configured to optimize output of our largest tanks, which continue to rise as a proportion of total demand. Its large diameter production capacity will be approximately four times that of our recently shuttered Anaheim site, and its impending addition to the services footprint was the planned trigger for the company to exit Anaheim, a location which was among the oldest in our network and was exposed to the particular risk factors associated with the State of California. The shutdown of Anaheim is expected to be completed by year-end and anticipated to yield at least $2.5 million of annualized fixed cost savings once completed. Actually, Anaheim does not alter our previously shared revenue growth potential and related returns expectations tied to the new composite technologies production sites. The one-time costs associated with ongoing action to commission two new sites and exit Anaheim will be elevated during the first two quarters of 2024 before moving down significantly in the second half of the year. In combination, these factors lead us to expect a modest sequential decline in segment adjusted EBITDA during the first quarter before rising significantly in the second quarter. Turning to connection technologies, the segment delivered new annual records for revenue and adjusted EBITDA during 2023, with sales of harsh-environment wire, cable, and heat-shrink tubing into infrastructure applications rising substantially compared to the prior year. This outcome, while running at near full capacity in our Toronto wire and cable production site, is a testament to the creativity and teamwork of the connection technology segment employees. During Q4, the connection technologies segment reported revenue and adjusted EBITDA slightly lower sequentially but modestly above the prior-year period as expected. Within the quarter, we observed continued strong demand for the segment's products in North American infrastructure markets, which largely offset a modest impact from US automotive labor disruption and ongoing interest rate-driven slowness in the Canadian distribution sector. Reduced Canadian wire and cable distributor activity throughout the second half of 2023 has enabled the segment to redirect capacity and capture incremental share in North American utility markets particularly in the US, a trend that continued in the fourth quarter and we believe is sustainable moving forward. As anticipated, we did not see meaningful inventory destocking by wire and cable distributors that would typically occur at yearend and do not expect to see the seasonal restocking that would typically occur in the first quarter. Despite this, the company expects connection technologies revenue in the first quarter to move upwards and to be similar to the levels seen in Q1 of 2023 before moving further upwards in the second quarter as continued demand growth and share gain in the North American infrastructure market compounds a return to pre-strike levels of US automotive production activity. This segment continues to execute the relocation, expansion, and modernization of its North American production activities into two new sites with its Vaughan, Ontario and Fairfield, Ohio facilities progressing on time and on budget. First production from both sites is expected during the second half of 2024 with final site completion occurring in the first half of 2025, enabling connection technologies to maintain and accelerate its North American growth trajectory. Overall, we maintain a favorable view of the long-term electrification, communication, and transportation trends, which impact this segment and will continue to invest in the development of new technologies and to improve our manufacturing capacity, elevate our production efficiency, and lower lead times. We also continue to evaluate accretive acquisition opportunities to further expand our product offering and geographic presence. Lastly, our discontinued operations, which was sold at the end of November, delivered over $100 million of adjusted EBITDA with an adjusted EBITDA margin of almost 40% in Q4, driven by very strong operational execution, particularly on the Southeast Gateway Pipeline project. Our pipe-coating employees performed at an extraordinary level throughout 2023, particularly given the added distraction of a sale process. They're an incredible team of passionate people, we will miss them, and we wish them a very successful future as part of Tenaris. Tom will now walk through the company's full year and fourth-quarter financial highlights, including greater detail on our completed pipe coating sale transaction.
Tom Holloway: Thanks, Mike. Fourth-quarter consolidated revenue from continuing operations was $210.8 million, 6.6% lower than the $225.8 million in the fourth quarter of 2022. Excluding the impact of the oilfield asset management business which was sold in the fourth quarter of 2022, consolidated revenue from continuing operations decreased by $8.8 million or 4% from the fourth quarter of 2022, reflective of a decrease of $20.9 million in the composite technologies segment, partially offset by an increase of $9.2 million in Brazil pipe coating business being reported under the financial corporate and other segment, and an increase of $2.9 million in the connection technologies segment. Adjusted EBITDA from continuing operations was $32.8 million, a 20.8% decrease from the prior-year fourth quarter. Adjusting for the oilfield asset management sale, there is decrease of $7.7 million or 19.1% decrease from the prior-year fourth quarter. Modernization expansion and optimization costs related to our growth initiatives in the fourth quarter of 2023 or $1.7 million, with the rest of the difference primarily attributed to lower composite technologies revenue during the quarter. During the fourth quarter, the company recognized a $17.6 million impairment charge on its intangible assets related to air permits and a $0.9 million impairment charge on property, plant, and equipment as a result of its decision to close the aging Xerxes manufacturing facility in Anaheim, California. Additionally, a gain of $1.7 million was recorded during the quarter primarily related to a true-up of the value related to royalty payments due on the Triton acquisition. Restructuring costs resulted in an expense of $2.5 million during the quarter primarily due to a true-up of the share-based incentive costs for departed executives. Turning to segment results, the composite technology segment revenue was $112.5 million, a 19.4% decrease compared to the fourth quarter of 2022, and adjusted EBITDA was $18.8 million, a 31.1% decrease from the prior-year fourth quarter. This revenue decrease was partially attributable to the absence of the oilfield asset management business which was sold during the fourth quarter of 2022 and generated $6.2 million of revenue during the prior-year fourth quarter. Additionally, modernization expansion and optimization costs related to the two new facilities in this segment were $1.5 million during the fourth quarter of 2023. The balance of the difference was primarily related to lower demand for the company's Flexpipe product line due to lower drilling and completion activity levels by North American oil and gas operators and lower production and shipments of FRP tanks due to normal seasonal slowing in project execution. Connection technologies segment revenue was $79 million which was 3.9% higher than the fourth quarter of 2022, and adjusted EBITDA was $14.7 million which was relatively in line with the prior-year fourth quarter. Modernization expansion and optimization costs related to the relocation of the segment's North American footprint during the quarter were $0.2 million. The gross profit from the increase in revenue was partially offset by increased selling, general, and administrative costs due to higher compensation costs to drive segment growth initiatives. Discontinued operations which consisted primarily of the businesses formerly reported under the pipeline and pipe services segment reported revenue of $265.1 million, an increase of 121.5% compared to the fourth quarter of 2022, primarily resulting from the continued successful execution of pipe coating activity, including the SGP project in the Altamira, Mexico facility. Adjusted EBITDA was $104.9 million which compared to adjusted EBITDA of $15 million recorded in the prior-year fourth quarter, reflecting the higher revenue, a more profitable pipe coating project mix, and the impact of higher activity on manufacturing absorption. It is also worth noting that these results were achieved over only two months of activity in the fourth quarter of 2023. During the fourth quarter and prior to the completion of its sale to Tenaris in November of 2023, the PPG business generated significant revenue, adjusted EBITDA, and cash from operating activities for the company. The company benefited from this significant generation of cash, but consequently, this has resulted in the incurrence of related income tax and other liabilities for the PPG business which will require settlement with Tenaris as part of a normal customary working capital adjustment process. The company expects the parties to finalize the net working capital adjustment during the second quarter of 2024, and the company currently anticipates its net cash outflows to settle with working capital adjustment will be approximately $32 million. Turning to cash flow in the quarter, cash provided by operating activities in the fourth quarter was $101.4 million, reflecting strong operational performance. Cash generated by investing activities in the fourth quarter was $215 million, reflecting a total of $230 million in net proceeds primarily from the sale of the PPG assets, offset by $15 million of capital spending on property, plant, and equipment. During the fourth quarter, cash used in financing activities was $78.6 million, including $30 million in debt repayments, $6.7 million in lease payments, and $41.9 million in share repurchases under the company's normal course issuer bid. The company purchased approximately $2.9 million shares in the fourth quarter and maxed out the allowed share repurchases under its currently active NCIB. We intend to renew the program in June 2024 when allowed. Net cash generated in the fourth quarter of 2023 was $236.1 million. Based on the actions completed and planned, its diversified business, and confidence in the outlook, the company expects to generate sufficient cash flow and have continued access to its credit facilities subject to covenant limitations to fund its operations, working capital requirements, and capital program including share buybacks. As of December 31, 2023, we had a cash balance of $334 million, debt of $144 million, and $57.7 million of standard letters of credit. Our liquidity position has benefited from the initiatives undertaken since 2020 with continued focus on reducing our operating cost base as well as repayment of $291.5 million of outstanding net long-term debt since the start of 2021, including $30 million paid in the fourth quarter. As of the end of the quarter, the company's net debt to adjusted EBITDA ratio was negative 0.26 times. As we continue to execute our modernization expansion and optimization activities, lease liabilities are expected to increase, reflecting the net effect of signing four new production facility leases, partially offset by exiting our sites in Rexdale, Ontario and Anaheim, California. With total lease liabilities growing, the company is comfortable operating within a net debt-to-adjusted EBITDA ratio of two times, reflecting the increase in lease liabilities. This does not reflect the desire to carry more external debt. Capital expenditures for continuing operations in the quarter were $27.7 million, including outstanding payments to suppliers, of which $24.5 million were related to growth expenditures for continuing operations. These were primarily related to infrastructure improvements to increase production capacity and efficiency in the composite technologies and in connection technology segments. The company's total full-year 2023 CapEx spend came in at $148.4 million which was lower than the $160 million to $180 million range previously communicated due to the timing of approximately $15 million of cash flows, which rolled over at year-end. Consequently, capital spending for 2024 is expected to be in the range of $90 million to $100 million. $10 million to 15 million of it is expected to be maintenance CapEx with the balance tied to growth primarily related to the company's ongoing modernization, expansion, and optimization projects. All previously announced growth initiatives remain on time and on budget. We will continue to prioritize organic capital spend to drive growth in our most differentiated, high-value, materials-based solutions in support of industrial and critical infrastructure end markets. Since early 2020, the company has successfully divested multiple non-core, lower-margin businesses and other assets. These efforts have generated significant cash proceeds, enhanced the margin profile of our continuing operations, and significantly strengthened our balance sheet while lowering organizational complexity and risk. With the sale of our PPG business, the company no longer believes that backlog measures are useful. As such, backlog reporting is being discontinued. With the strategic review process materially complete, we look forward to focusing on the remaining core businesses, completing our North American production footprint modernization, expansion, and optimization program and continuing to evaluate potential strategic acquisitions and investments to grow the business. 2023 was a year of transformation with strong execution resulting in robust sequential and year-over-year growth in revenue, gross profit, and operating cash flow from our continuing operations. Consolidated revenue in the year was $925.3 million, 7.4% higher than the $861.8 million in 2022. Adjusted EBITDA from continuing operations was $165.1 million, a 16.4% increase from the prior year, primarily attributed to continued healthy demand for our products. Consolidated results for the year included nonrecurring items outside the company's normal course of business. The year included a loss of $111 million on the sale of our PPG and Shaw Pipeline Services businesses in the discontinued operations results. This loss reflects the comparison of the net book value of the businesses and cumulative translation adjustments at the time of the sale to the proceeds generated directly from the sale. In the case of PPG, the cash of approximately $82 million that was generated between signing and closing of the deal is not reflected as proceeds for the purposes of the calculation of the loss. This fact, along with the transaction costs associated with the sale, are the largest factors in the lost generation. The year also included a gain on sale of land and other of $1.7 million, primarily for the true-up of royalty payments due on the Triton acquisition. Additionally, the year included $27.2 million of impairment charges, $3.9 million of net restructuring costs, and a gain of $1.9 million related to the wind down of our Canadian Defined Benefit Plan. Turning to cash flow in the year, cash provided by operating activities was $124.6 million, reflecting $75.8 million from continuing operations and $48.8 million from discontinued operations. Cash provided by investing activities in the year was $109.8 million, reflecting $23.7 million in proceeds from the disposal of property, plant, and equipment, and $217.5 million in proceeds from the sales of businesses throughout the year. This was partially offset by $122.7 million of capital expenditures paid in cash and $8.1 million purchase price paid in cash to acquire Triton Stormwater Solutions. During the year, cash used in financing activities was $161.8 million, reflecting $69 million in debt repayments, $29.5 million of lease payments, and $64.5 million in share repurchases under the company's normal course issuer bid. Net cash generated in 2023 was $70.1 million. The past year showed Mattr advanced further its transformation to become a more profitable, less volatile business focused on the deployment and delivery of differentiated, high-value, materials-based solutions in support of industrial and critical infrastructure end markets. With our transformation now complete, we are proud to report strong financial results from our continuing operations to our stakeholders. These results include an increase of $63.5 million in revenue and $23.5 million in continuing operations adjusted EBITDA from businesses aligned closely with our materials technology competencies and best positioned to benefit from favorable long-term macroeconomic trends. We've enhanced and strengthened our balance sheet with an additional $70 million in cash and debt reductions of $69 million, bringing the credit facility balance to zero, although while returning capital to shareholders through our normal course issuer bid. Our balance sheet is well positioned to fuel profitability, expansion, and accelerate M&A activity. I'll now turn it back to Mike for some final comments.
Michael Reeves: Thanks, Tom. Over the last three years, we have successfully executed a fundamental transformation, simplifying our organization, increasing average margins, lowering operational and financial volatility, elevating cash flow, and concentrating on a narrow range of high-growth, critical infrastructure-oriented businesses. We have built a strong cash balance, have returned capital to shareholders, and have initiated multiple high-value organic growth investments, positioning the company to take full advantage of our unique technology portfolio and strong long-term customer demand to deliver elevated returns over the years to come. Normal seasonal cycles and transient market movements will continue to drive some variation quarter to quarter. However, the underlying long-term trends for each of Mattr's primary businesses are favorable and expected to remain so for several years. Long duration North American critical infrastructure activity remains robust, and demand for our core products is expected to persist. Moving into 2024, our focus remains on technology development, efficient delivery of quality products, careful cost management, and substantial completion of our North American manufacturing modernization, expansion, and optimization programs. We continue to evaluate tuck-in and more substantial accretive strategically aligned acquisitions and are fully committed to continuing the return of capital to shareholders. We remain vigilant towards the potential impacts of geopolitical events, supply chain risks, inflationary impacts, and interest rate movements, and continue to take steps designed to minimize our exposure to rising international trade friction. The company views any potential future action by central banks to lower interest rates as favorable likely to drive an increase in broad industrial and infrastructure demand for the company's products particularly from smaller customers and distributors. We anticipate first-quarter revenue to move slightly up sequentially, while modernization, expansion, and optimization project costs also move up from the prior quarter as site commissioning activity accelerates. Consequently, adjusted EBITDA in Q1 is expected to move down as our composite tanks business navigates its normal seasonal low point and a final quarter of limited production output. Excluding the impact of modernization, expansion, and optimization project costs, underlying adjusted EBITDA for continuing operations is expected to be modestly below Q4. Typical improvements in weather and ground conditions across much of North America during Q2 are expected to drive a substantial increase in operational activity within our composite technology segments, and we currently expect Mattr's adjusted EBITDA in the second quarter to be similar to the same period of 2023, despite the impact of continued modernization, expansion, and optimization project costs. We remain confident that Mattr's full-year 2024 revenue and underlying profitability will rise by high single-digit percentages when compared to 2023. I will now turn the call over to the operator and open it up for any questions you may have for myself, Tom, or Meghan.
Operator: [Operator Instructions]. Our first question comes from the line of David Ocampo with Cormark.
David Ocampo: I guess, when I look at your commentary, and you alluded to this in your prepared remarks, financial profitability should be up year over year, and I assume that doesn't include any of the start-up costs that you guys have been talking about. And it does seem like that could be around $20 million or $25 million, give or take a few a few million there. But if that's the case, and I strip those costs out, it does imply that you guys are going to grow north of 10% in 2024, and that's without having the capacity lift from your new plants that are coming online. Have customers given you strong indications that could give you confidence in hitting those targets? I guess, I'm just curious how much visibility you guys have for '24.
Michael Reeves: I think your assessment of 2024 is relatively consistent with ours in the right ballpark on everything you just said. At this stage in the year, we have a range of visibility in terms of customer orders. It depends on the business line, but I would say those businesses that tend to have longer term visibility are the Xerxes tank and Shawflex wire and cable businesses. And we continue to have confidence based on our customers' ordering patterns there. Our shorter visibility tends to be in the Flexpipe and DSG conducive businesses. And while orders in those businesses tend to be 60 to 90 days in advance, I can tell you that the commentary from customers certainly gives us the confidence that we need to build production plans in support of the activity levels you've described.
David Ocampo: Got you. And then the other one I wanted to touch on briefly here is just M&A potential because you guys called out opportunities that have meaningful scale. And I think that is a little bit of a deviation from at least what I thought where you guys were looking at tuck-in acquisitions exclusively. But just curious, does that change how you guys are looking at it from a multiple IRR hurdle rate?
Michael Reeves: So what I would say is that our M&A strategy continues to evolve, which I think is a healthy thing for any organization as we went through 2022, 2023, you are correct. We were very focused on things tuck-in in nature. As we have successfully integrated two transactions over the course of the last 12 or so months, my confidence in our ability to look at things slightly bigger has evolved, and clearly our balance sheet has evolved as well. So I think it's appropriate that we are looking at acquisitions through a slightly wider aperture than perhaps we were 12 months ago. Certainly, nothing has changed in our view of what it takes to be excited about M&A opportunities or, in fact, any capital deployment opportunities. We continue to hold ourselves to a 20% after-tax IRR return rate. And obviously, we would assess anything of any substance against other alternative uses of that same capital, so a share return to our shareholders being the obvious baseline comparison. So as we sit here today, no changes in our expectations of returns from capital deployed, a slightly wider aperture through which we are looking at M&A.
David Ocampo: Okay. And then last one for me. The 70% lift in large diameter pipe is quite meaningful. Curious what that represents in terms of overall percentage for Flexpipe? And maybe you can give us an update on the launch of the 7-inch and 8-inch products?
Michael Reeves: Yes. So we were certainly very pleased with the progress made in 2023 on the large diameter products. As you recall, that's 5 inch and 6 inch which respectively were launched in mid '21 and mid '22. So still fairly early in the lifecycle of those products, but seeing very, very good customer acceptance and growth of business, most of that being in North America during 2023. But as I noted in the prepared remarks, you'll start to see an international element of growth there as we roll through the first half of 2024. We are a very long way from having a mature market share position in the 5-inch and 6-inch products. When we launched them, we noted that, in combination, they approximately doubled the addressable market of the business. And you can tell we haven't yet come close to doubling the size of the revenue and EBITDA from that segment, so still lots of growth to come there. 7 inch and 8 inch are the next obvious targets, and once those are introduced, we will have added another 50% to our current addressable market. I think you should expect that 2024 is not the year where we see revenue contributions from 7 inch and eight inch, but a lot of work happening in the background to ensure that '25 is. I think all in all, we view what is a relatively flat North American oilfield activity environment as one in which we can still grow quite substantially and particularly with the large diameter. And while the percentage of large diameter of Flexpipe certainly varies quarter to quarter, but we have now had more than one quarter where it has represented greater than 20% of the total revenue of that particular business.
Operator: Our next question comes from the line of Tim Monachello with ATB Capital Markets.
Tim Monachello: In terms of the NEO cost and I guess the cadence of those through the year, can you put some bookends on what you're expecting in terms of total cost there that changed materially since Q3?
Tom Holloway: It really hasn't changed at all, Tim. It's still -- I think most people are thinking 20 to 25, and that's about the number we would align with. So relatively evenly spread across the year with a weighting of composites in the early part of the year in the first half and connections in the second half if you're looking at seconds.
Tim Monachello: Okay, got it. So then the ramp-up that you're expecting is largely due to just improvements in the composite segment related to, I guess, primarily the FRP tank permitting issues subsiding and releasing some capacity, and then, I guess, expectations for improvement in in the North American part of the pipe coating segment -- or sorry, the composite pipe segment and those international orders coming through starting in or, I guess, more materially in Q2? Is that the right way to think of it?
Michael Reeves: I think you've covered all the pertinent points for Q2, yeah. We're obviously dealing in Q1 where the normal seasonal cycle things are fairly slow on the Xerxes side of the business for fuel and water which is very common this time of year. But we are very, very confident that Q2 will be a substantial step-up for composites, not just Xerxes but also Flexpipe, as you said. Deliveries into North America rising despite a relatively flat North American marketplace and already secured international shipments that will contribute a little to Q1, but much more meaningfully to Q2.
Tim Monachello: Okay. Got it. Can you talk a little bit about your expectations for 2024 regarding growth within the water solutions business?
Michael Reeves: Yeah. So obviously a business that set new annual record in 2023, set a new quarterly record in Q4 of 2023, which is rare because the ground conditions aren't always at their best in Q4. So I think it's a business that we certainly expect year-on-year growth. And I think, as we roll through '24, get into the second half of '24, and into the early part of '25, it starts to get to a point of materiality that we'd be more comfortable sharing more specific numbers around it. But just to say, I still feel very confident that that business is growing at a pace and is securing customer acceptance across North America and into some international markets that we still stand behind our expectation that that business rivals our fuel business in terms of its contribution to the organization in four-ish years from now.
Tim Monachello: Got it. That's helpful. Can you talk a little bit about, I guess, the progress in the strategic development of that business in terms of -- my understanding was that your go to market strategy has largely been focused on your retail fuel customer base, and the growth going forward will be dependent on an expansion into other industrial and commercial end markets. How is that going?
Michael Reeves: Yeah, I would slightly tweak that description. What I'd say is that the business we have today, which has grown substantially over the last couple of years, has grown with a fairly diverse customer base, including some fuel customers. But more broadly, it has been small to mid-size commercial construction activities, so industrial and infrastructure related. I would say that we are still in the relatively early stages of market penetration with our fuel customers, so the benefits that will come from that process are still largely to be seen and will be seen as we continue to roll through this year and the years that come. But the team is obviously continuing to focus on a fairly broad array of customers, industrial infrastructure, fuel retailers, et cetera, et cetera, mostly North America, but we have a position in Western Europe and in some other international markets. So it's a broad strategy, and we have existing relationships with fuel customers which is a helpful thing, but you still have to earn the right to win their business. And I'd say we're in the early days of seeing that translate into the P&L impact.
Tim Monachello: Thanks for that detail. I appreciate the clarification. And then, I just wanted to follow up on David's question on M&A, I guess, the composition of the targets that you're looking at are you just looking at larger businesses that fulfill those same needs?
Michael Reeves: Yeah. I lost audio for just a second there, Tim, but I think I got your question. What I would just reiterate is, we have spent now three years making this business far more focused, targeting the remaining businesses that have very large addressable markets where we have technical differentiation, where we have high margins, high free cash flow, and the opportunity to get fundamentally bigger and more profitable. We are not going to go out and use M&A as a pathway to go backwards. So what you will see is that we are extremely strategically aligned. There is a lot that we can do to grow our existing businesses organically. And as you see, we're deploying substantial capital to do exactly that. There are certain scenarios in certain businesses where we think the path to success can be accelerated through the use of M&A. And we've said it before that largely, that's going to be in the water technology space and far more materially, I believe, in the wire and cable space. So you're going to see us continue to focus in those two areas, and we will not be making acquisitions of any size that make us fundamentally more complicated or lower our ability to deliver on our commitments for both EBITDA margin, free cash flow conversion rates, and overall growth rates.
Tim Monachello: Okay. Got it. And then on that, I guess, it depends on the opportunities that you're looking at in your strategy, but are you expecting or I guess enough in your perfect world, would you expect to see of a US footprint for Shawflex acquired in 2024?
Michael Reeves: Obviously, the M&A space is one where it takes two sides of the table to find a position that works for both. So it's hard to predict, but I would say, personally, I would be disappointed if we exit 2024 not having a US production footprint for Shawflex.
Tim Monachello: Okay. Got it. And when you look at targets in the US, do the valuations that you're seeing today, if you think you can get a deal over the line that could be accretive given your current multiples, you need multiple expansion.
Michael Reeves: I am confident that we can do deals that are accretive at our current multiple expansion.
Operator: Our next question comes from the line of Michael Tupholme with TD Securities.
Michael Tupholme: Can you hear me?
Michael Reeves: We can now.
Michael Tupholme: First question is just about the commentary around the second quarter step-up in FRP. tank production. I guess I'm just wondering if you can comment on how you see the production levels looking in Q2 versus Q1? And is there any kind of a lag in terms of when you'd realize those sales? Or is it pretty coincidental with the step-up in production?
Michael Reeves: Yes, so I'll answer the second question, first. Not all, but the vast majority of our customers on the fuel side have contractual relationships with us such that we will invoice for the product at the time that we complete the manufacturing, and then we may store it for them for some time at an additional charge and ship to their location when they're ready. So generally, you should equate production activity with revenue generation, and I would say that second quarter production activity is likely to be not quite twice what first quarter is but not far from it.
Michael Tupholme: All right. That's helpful. Second question is regarding the financial corporate and other segment. During the fourth quarter, only a slightly negative adjusted EBITDA performance in that area. Can you talk about how we should expect adjusted EBITDA in that corporate segment to look on a quarterly basis as we move through 2024?
Tom Holloway: Yeah. So let me start with reminding everyone that Brazil is included in that because it's not a significant part of our business any longer. It doesn't warrant being a segment. So that is what clouds the segment and makes it look a little odd from time to time in a positive way for this quarter. So that's good news. I would tell you that our -- probably the simplest way to think about it is our corporate cost expectations have not changed at this point. So if you use those assumptions you had before, those should still be consistent. And then if you assume Brazil generates, let's call it something like $3 million or $4 million of EBITDA per quarter, that's about what I would anticipate going forward. It's going to -- it's a pipe coating business, so it's a little bit lumpy from time to time. So there's variability there, but that would be the expectation I'll go by.
Michael Tupholme: Is that consistent with what it produced, Brazil produced, in the fourth quarter or was it a different level in the fourth quarter?
Tom Holloway: The fourth quarter was quite robust. So I'd say, again, the corporate number was pretty much in line with what we previously talked about. So you should anticipate that the difference came from Brazil being double that $3 million, so around $6 million of contribution from that Brazil business in the fourth quarter. So very robust fourth quarter for them.
Michael Tupholme: And then lastly, not surprisingly, you mentioned that lease liabilities did move higher quarter over quarter. Can you talk about how those are expected to evolve from where they were at the end of the year as we move again through 2024?
Michael Reeves: Yeah. So they're in the mid 80s right now at the end of the year. I would anticipate those moving up into the low hundreds by midyear and staying around that point. So I consider that maybe $120 million-ish, but not going above that number. And that's why we -- that's why we're comfortable moving the net debt to adjusted EBITDA leverage ratio up, which does not indicate an opportunity to increase external debt. It simply a mathematical calculation due to the leases that we've entered into for our modernization expansion and optimization program.
Michael Tupholme: Got it. I will leave it there.
Operator: Our next question comes from the line of Zachary Evershed with National Bank Financial.
Nathan Po: This is Nate calling in for Zach. Just wondering, we've been having some issues on the call. Can you hear me all right?
Michael Reeves: Yes, sir. Good morning.
Tom Holloway: Yes. Good morning.
Nathan Po: Okay, perfect. So you've delved into some great color regarding you Q1 and Q2 for [indiscernible] Can you give some more color and dive into the magnitude of step-up expected in Q2 regarding your connection segments, especially because the full-year outlook hasn't changed?
Michael Reeves: Yeah, the connection technology segments, very interesting situation. They historically have had a fairly substantial proportion of their business tied to sales of product to Canadian distributors. And as we've discussed at length, that particular customer segment has been perhaps hardest hit by the elevation of interest rates and the rising cost of capital. So they worked very hard to lower their inventory balances starting mid '23 and -- while ordering patterns have improved modestly towards year end. I think they are in a kind of a sustainment scenario and likely to stay there for most of 2024 unless we see a meaningful move down in interest rates. So what the segment has done is take the incremental capacity that became available through that change in customer behavior and directed into an interesting segment that we've always struggled to serve because we just couldn't get enough capacity and get low enough lead times to be competitive. Now we can. So what you saw is instead of a fairly quiet Q4, which is the normal cycle, Q4 was very similar to Q3, and it's because of the continued success of our team in capturing work in particularly the US infrastructure wire and cable marketplace. We continue to see them have success there. And despite the fact that we're not going to see a step-up in distributor orders in Q1, we've set the expectation that the segment will rise quite meaningfully from Q4. And it is primarily driven by continued success and market share capture in the US infrastructure market, so utilities and other types of infrastructure. We expect to see that continue. So certainly, the movement from Q1 to Q2 will not be as robust as it is from Q4 to Q1. But January looks like it's going to trend upwards. And I think what we still expect for the year with connections is that Q4 of '24 is likely to be their slowest quarter. It almost always is the slowest quarter for the business. But I think we'll see less seasonality this year than we do in most. And as we look at it, I think it's a business where not just the wire and cable side of it, but the heat shrink tubing business, the connection protection products are continuing to gain traction particularly in North American infrastructure end markets. So a business that I think can perform very well in '24. The one unfavorable item there, and I'd remind people, is we talked at length that we had a fairly substantial EBITDA contribution in the first half of '23 that came from a, let's say, an unusually large aerospace order. We're not going to see that order repeat in 2024. So for this segment to deliver something approaching 2023 levels of performance despite the lack of that order, I think, is really a testament to the team and the success that we're having in the infrastructure markets in North America.
Nathan Po: Thank you for that great color. My next question is regarding the Anaheim closure. So was this closure part of the original plan when composite investments were announced? And further, the company still has a presence in Bakersfield, California, are there any implications there?
Michael Reeves: So yes, this was part of our original plan. And as I'm sure you can understand why we were comfortable communicating the intention to put new facilities on the ground publicly, talking about exiting a facility before we had a chance to engage with the local workforce was not appropriate. So unfortunately, we couldn't signal this ahead of time other than to indicate that we were engaged in optimization activities for our manufacturing footprint. We do not, as an organization, have a physical presence in California beyond the Anaheim site. So you may be looking at a slightly aged geographic listing. I believe we had a Bakersfield facility in one of our pipeline inspection businesses that we sold in either '21 or '22, depending on which business it was.
Operator: Our next question comes from the line of Ian Gillies with Stifel.
Ian Gillies: Following on the California plant closure, are you still able to service that market from other locations and just because I would presume that California is going to be a reasonably important geography given what's going on from a population size standpoint and the like?
Michael Reeves: So short answer is, yes, we can. The product that we're able to produce across our network is entirely suitable for the California market. And I would tell you that we are able to produce those products at lower costs even including some incremental shipping expense from outside California than we were able to produce inside California.
Ian Gillies: With respect to the Flexpipe division, I mean, if you had your druthers, would you rather sell $1 of similar pipe into the North American market or into the international market?
Michael Reeves: So, yes. The margin profile tends to be a little better in North America than internationally. But the international orders tend to be secured with greater -- in greater scale, so they bring enormous benefit to the manufacturing facility and our ability to plan and be efficient under that roof. So honestly, I think, if you put a gun to my head, I'd probably rather sell it into the US market, but it's a very close call. And we are now in a position where we will have the ability to aggressively attack both the North American and international markets which is really the right answer.
Ian Gillies: Yeah, no. That's fair enough. And then last one for me, with respect to the tanks business, you talked about securing customer commitments into the second quarter and perhaps even looking into the third quarter at this point, are customers interested or have you secured any commitments for any of the new product that you expect to come out of the South Carolina facility? Or is it still too early to be thinking about that?
Michael Reeves: So many of our customers just ask us to deliver a product to a certain location within a certain timeframe and have very little concern about where it is made. So what I'd tell you is that we have orders in the backlog now that I am really confident will be actually produced in South Carolina, but we are not actively out there promoting South Carolina as the source of production. That will come once we have completed commissioning of the equipment in that facility, which we're not far from. But we will see production come out of South Carolina during the third quarter.
Ian Gillies: Okay. That's helpful. And sorry, I know we're getting late, but I'm going to squeeze one last one in here. Obviously, NCIB is done. You want to use an all-of-the-above approach. Can you maybe just want to address where your mind frame is at with respect to a substantial issuer bid given the balance sheet?
Tom Holloway: Yeah, I think Mike did a good job of saying that we look at every investment opportunity against NCIB. So what does one look like against the other, and what is the best use of capital for our investors, not only in the short term but in the long term? I would tell you that that analysis, at least today, tells us that we still believe we have better uses of capital growing the business organically and inorganically. So I would point you to our intent to renew the NCIB in June when we have the opportunity, but unlikely we approach an NCIB type of transaction.
Ian Gillies: Okay. I appreciate all the detail.
Operator: Our next question comes from the line of Nathan Po with National Bank Financial.
Nathan Po: And then just following up on where you are in the M&A process. So the tone on acquisitions seems explicitly more aggressive especially now in connection technologies. Can you share any color on where you are in your search, anything regarding due diligence, discussion, exclusivity, and things of that nature?
Michael Reeves: I can't be that explicit. Maybe what I can say is that we've been building a very strategically focused funnel of M&A opportunities for three years. We've been cultivating relationships particularly with private and family owners. And obviously, we've been working through the usual networks of investment banks to ensure that we're in deal flow that might be appealing to us. I would just tell you that there are opportunities that are either in the market now or we believe will come to market during 2024 that could be really interesting, but that's probably as much as I can.
Nathan Po: Thank you very much. I'll turn it over.
Operator: Our next question comes from the line of Arthur Nagorny with RBC.
Arthur Nagorny: Just wanted to touch base on the automotive end market specifically. So just curious what you're seeing within connection technologies there and how that's trending maybe in 2024?
Michael Reeves: Yeah. So the first thing I'd say is that we saw a modest but noticeable effect from the US auto workers' strike impact in Q4. And as we've rolled into the first quarter, we've effectively seen buying patterns from our US customers return to pre-strike levels. So we consider that now an issue of the past. I think most pundits are suggesting that total global automotive production in '24 is likely to be quite similar to '23. That's certainly what we have assumed as we've thoughtfully constructed our own plans. But as we've talked about multiple times over the last several years, we continue to see customers generally put more electronic content into each vehicle, which means they are buying incrementally more of our product per vehicle, and we think that trend will continue. And we've also talked about the fact that while the type and quantity of components that we sell into an electric vehicle are different than an internal combustion engine vehicle, they generally generate a little more revenue and a little more margin per unit. So while total sales of the EVs are starting to flatten a little, we still expect a higher percentage of total vehicles produced in '24 to be EVs than it was in 2023, which is generally good for us.
Arthur Nagorny: Got it. And just wanted to ask one follow-up question on your current footprint just given the facility closure in California. Are you evaluating any other aspects of your current footprint, or are you comfortable with where you stand today, I guess, with respect to the organic growth targets you have out there specifically.
Michael Reeves: I think good organizations are always evaluating their footprint and looking for ways to be as efficient as they possibly can. So I would say we will always be evaluating. So it would certainly not be prudent for me to say that there will never be another change in our footprint. What I can tell you is that any changes that we may choose to make here would be very thoughtfully considered and will absolutely not impact the financial returns associated with the investments that we've made.
Operator: Thank you. I'm showing no further questions at this time. I'd like to hand the call back over to Mike Reeves for closing remarks.
Michael Reeves: So thank you for joining us this morning and for your interest in the company. We certainly appreciate it. And we look forward to talking with you again next quarter and have a great day, everybody.
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect.